Operator: Welcome to WSP Holdings' fourth quarter 2012 earnings conference call. (Operator Instructions) I would now like to hand the conference over to your speaker today, Ms. Elaine Ketchmere, Partner of CCG Investor Relations. Thank you. Please go ahead.
Elaine Ketchmere: Good morning, everyone, and welcome to WSP Holdings' fourth quarter and full year 2012 earnings conference call. My name is Elaine Ketchmere, a Partner with CCG Investor Relations. With us today are WSP Holdings management, including Mr. Choon-Hoi Then, Chief Financial Officer; Mr. Xizhong Xu, Director and Assistant General Manager; and Ms. Judy Zhu, Board Secretary and IR Director. Before we get started, I'd like to remind our listeners that management's remarks in this call contain forward-looking statements which are subject to risks and uncertainties, and management may make additional forward-looking statements in response to your questions. Therefore, the company claims the protection of the safe harbor for forward-looking statements that is contained in the Private Securities Litigation Reform Act of 1995. Actual results may differ from those discussed today, due to such risks such as, but not limited to, fluctuations in customer demand; intensity of competition from other providers of OCTG products and services; general economic conditions; geopolitical events and regulatory changes, and other information detailed from time to time in the company's filings and future filings with the United States Securities and Exchange Commission. Although the company believes that the expectations in such forward-looking statements are reasonable, there is no assurance that such expectations will prove to be correct. Any projections as to the company's future performance represent management's estimates as of today, April 25, 2013. WSP Holdings assumes no obligation to update these projections in the future as market conditions change. I will now turn this call over to Ms. Judy Zhu, who will present opening remarks on behalf of WSP Holdings management. Judy?
Judy Zhu: Thank you, Elaine. Thank you, everyone, for joining us for WSP Holdings' fourth quarter and full year 2012 earnings conference call. The fourth quarter of 2012 showed a decrease in total revenues from the third quarter of 2012, mainly due to a decrease in sales volume as well as average selling price of non-API products. We will continue with our concerted marketing efforts to tap into new international markets based on the current global economic uncertainties. I would now like to ask Mr. Then, our CFO, to provide you some additional details of our financial results, after which we will discuss our recent events as well as operations and outlook. We will then have a question-and-answer session, during which, Mr. Then, Mr. Xu and I will be available to answer questions. Mr. Then?
Choon-Hoi Then: Thank you, Judy, and thank you, everyone, for joining us on the call today. I would now like to present some details about our financial results for the fourth quarter of 2012. Net revenues were $131.4 million in fourth quarter of 2012 compared to $141.3 million in the third quarter of 2012, primarily due to a decrease in revenues generated from export sales. Domestic sales and export sales accounted for 55% and 45% respectively, of total revenues for the fourth quarter of 2012. On a quarter-over-quarter basis, domestic sales decreased primarily due to a 4.7% decrease in sales volume, partially offset by a 1.7% increase in average selling prices. Export sales decreased quarter-over-quarter primarily due to a 9.6% decrease in average selling prices and a 2% decreased in sales volume. API and non-API product sales accounted for 77.5% and 13.3% respectively, of total revenues in the fourth quarter of 2012. Higher quarter-over-quarter sales revenues from API product sales were primarily due to a 6.7% increase in sales volume. Non-API sales revenues decreased quarter-over-quarter due to a 20.7% decrease in sales volume and a 14.8% decrease in average selling prices. Gross margin in the fourth quarter of 2012 was 4.9% compared to 5.5% in the third quarter of 2012, and 7.2% in the fourth quarter of 2011. Lower quarter-over-quarter and year-over-year gross margins were primarily due to decreases in average selling prices. Operating expenses in the fourth quarter of 2012 were $31.6 million compared to $25.6 million in the third quarter of 2012, and $29.7 million in the fourth quarter of 2011. Loss from operations was $25.2 million in the fourth quarter of 2012 compared to loss from operations of $16.7 million in the fourth quarter of 2011 and $17.8 million in the third quarter of 2012. Net interest expense was $6.5 million in the fourth quarter of 2012, compared to $2.6 million in the fourth quarter of 2011 and $9.5 million in the third quarter of 2012. The company recorded an income tax benefit of $0.6 million in the fourth quarter of 2012, compared to $0.7 million in the fourth quarter of 2011 and $1.5 million in the third quarter of 2012. Net loss attributable to WSP Holdings was $29.1 million in the fourth quarter of 2012, compared to net loss attributable to WSP Holdings of $18.9 million in the fourth quarter of 2011 and $22.7 million in the third quarter of 2012. Basic and diluted loss per ADS were both $1.43 in the fourth quarter of 2012, compared to basic and diluted loss per ADS for both of $0.93 in the fourth quarter of 2011 and $1.11 in the third quarter of 2012. Full year 2012 results. Revenues for the full year 2012 were $561.3 million, a decrease of 18.2% from revenues of $686 million in the full year of 2011. Gross profit was $24.5 million for the full year of 2012, compared to net gross profit of $48.5 million for the full year of 2011. Gross margin was 4.4% for the full year 2012, compared to 7.1% for the full year 2011. Operating loss was $62.2 million for the full year 2012 compared to operating loss of $41.7 million for the full year 2011. Net loss attributable to WSP Holdings was $84.2 million for the full year 2012, compared to net loss attributable to WSP Holdings of $68.5 million for the full year 2011. Basic and diluted loss per ADS for both was $4.12 for the full year 2012, compared to basic and diluted loss per ADS for both of $3.35 for the full year of 2011. Turning to our balance sheet, as of December 31, 2012, the company had cash and cash equivalents of $26.1 million compared to $27.7 million as of December 31, 2011. Restricted cash totaled $206.8 million as of December 31, 2012, compared to $249.8 million as of December 31, 2011. As of December 31, 2012, the company had short-term borrowings of $787 million and long-term borrowings of $15.9 million, compared to $773.5 million and $79.4 million, respectively, as of December 31, 2011. Accounts receivable and inventory totaled $217 million and $205.2 million, respectively, as of December 31, 2012, compared to $260.1 million and $242.2 million, respectively, as of December 31, 2011. As of December 31, 2012, total assets were $1,390.3 million. Total liabilities were $1,237.9 million and total equity was $152.4 million. Capital expenditures incurred for the full year ended December 31, 2012, were $39 million and were funded mainly through the company's operating cash flow and bank loans. The company has almost completed its major capital expenditure projects and will continue to reevaluate and revise its capital expenditure plan based on the prevailing economic conditions and future expectations as well as the availability of funding. With that I'd like to turn the call over to Judy to discuss our recent events and operations and outlook.
Judy Zhu: Thank you, Mr. Then. Now, I'd like to update you with the recent events of the company. On February 21, 2013, WSP announced that it entered into an Agreement and Plan of Merger with WSP OCTG Group Ltd., a company owned by H.D.S. Investments LLC and JM OCTG Group Ltd. a company with limited liability and a direct wholly-owned subsidiary of parent. Subject to satisfaction or waiver of the closing conditions in the Merger Agreement, Merger Sub will merge with and into the company, with the company continuing as the surviving corporation. Pursuant to the Merger Agreement, each of the company's ordinary shares issued and outstanding immediately prior to the effective time of the merger will be cancelled and cease to exist in exchange for the right to receive $0.32 without interest, and each ADS, which represents ten ordinary shares, will represent the right to surrender the ADS in exchange for $3.2 in cash without interest. The merger, which is currently expected to close during the second quarter of 2013, is subject to the authorization and approval of the Merger Agreement by an affirmative vote of shareholders representing at least two-thirds of the shares present and voting in person or by proxy as a single class at a meeting of the company's shareholders, as well as certain other customary closing conditions. EMH and UMW collectively beneficially own sufficient shares to approve the Merger Agreement and the merger and they have agreed to vote in favor of such approval. If completed, the merger will result in the company becoming a privately-held company and its ADS will no longer be listed on the NYSE. Additional information about the proposed merger is available in the report on Form 6-K and Schedule 13E-3 transaction statement on file with the Securities and Exchange Commission, available at the SEC's website. Next, I would like to discuss overseas strategy and outlook. After falling from the $100 per barrel mark in mid-February 2013 amidst concerns over sequestration cuts in the United States, by late March crude oil prices approached previous highs, but subsequently fell below $90 per barrel in mid April. Crude oil prices are expected to continue fluctuating due to the ongoing European debt crisis and heightened global economic uncertainty. On the international front, WSP Holdings continues to pursue new opportunities and broaden its customer base in South America, Russia, the Middle East, Central Asia and Africa and focus on sales of non-API premium connections, which provide opportunities for sales growth. On the domestic front, WSP Holdings continues to develop and launch new series of non-API products for commercial use and to focus mainly on customers in areas such as Xinjiang Autonomous Region, Sichuan Province and Shaanxi Province, which provide opportunities for sales of higher-margin, non-API products. I would now like to open this conference call to your questions for Mr. Then, Mr. Xu and myself. Question-and-Answer Session
Operator: (Operator Instructions) There are no further questions at this time. Ms. Elaine Ketchmere, please continue.
Elaine Ketchmere: Thank you. And on behalf of the WSP Holdings management team, I want to thank all of you for your interest in the company. Please let us know if you are interested in contacting or visiting the company. The information is available on the company's website at www.wsphl.com. This concludes WSP Holdings fourth quarter and full year 2012 earnings conference call.
Judy Zhu: Thank you.
Operator: That does conclude our conference for today. Thank you for participating. You may all disconnect.